Operator: Good day and thank you for standing by. Welcome to the Ramaco Resources, Incorporated First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your speaker today, Mr. Jeremy Sussman. Please go ahead.
Jeremy Sussman: Thank you. On behalf of Ramaco Resources, I'd like to welcome all of you to our first quarter 2021 earnings conference call. With me this morning is Randy Atkins, our Chairman and CEO; and Chris Blanchard, our Chief Operating Officer. Before we start, I'd like to share our normal cautionary statement. Certain items discussed on today's call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent Ramaco's expectations concerning future events. These statements are subject to risks, uncertainties and other factors, many of which are outside of Ramaco's control, which could cause actual results to differ materially from the results discussed in the forward-looking statements. Any forward-looking statement speaks only as of the date on which it is made, and except as required by law, Ramaco does not undertake any obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Lastly, I'd encourage everyone on this call to go on to our website, ramacoresources.com, and download today's investor presentation under the Events Calendar. With that said, let me introduce our Chairman and CEO, Randy Atkins.
Randy Atkins: Thanks, Jeremy. As always, I want to thank everyone for joining us today to discuss our first quarter results. What a difference a year makes, last year this time, the world seemed like it was in free fall. This year, we are sort of like the dog that has caught the car. We have just printed our second strongest first quarter on record with some terrific cost metrics. We are in full growth mode and produced a record number of tons for the quarter. We are also well underway to increasing our overall production by roughly 50% by mid-year of next year to an annualized run rate of over 3 million tons. We have just improved our guidance for the year on production, cash costs and CapEx. Our margins on our most recent sales are now running in excess of $50 a ton. Finally, the met markets hold as we anticipate, then we are well on our way to probably our strongest year of free cash flow. The stars seem to be aligning and life indeed looks a lot better than it did this time last year. Jeremy will be providing some more granular detail on finances, but let me simply highlight a couple of items that I think stand out. As I said, we had exceptional mine cost operational performance. Our quarterly cost numbers across all properties came in below $60 a ton. Indeed for March, our costs were $54 a ton. Our production of almost 580,000 tons for the quarter was also a record. Our pricing was up almost $10 per ton since last quarter, the $89. And as I said earlier, our margins are some of the strongest we have seen. We printed EBITDA of just under $12 million for the quarter and are set to finish 2021 as perhaps our strongest year of free cash flow. Although, I'm going to speak on the markets in a moment, we are seeing continued record price and demand in the steel sector, which we do not see abating any time over the next 18 to 24 months. As of today, we have already sold about 1.9 million tons at an $89 average price. We have dry powder of over 400,000 tons remaining to place in the second half of the year, which was when we expect some firming in met pricing. Of our committed tons, we have placed 1.4 million tons domestically at an $87 average and roughly 500,000 tons for export at an average of $93 based on today's index pricing. The market is definitely improving and our last highwall sale was at $116 a ton. As you know, we have one of the cleanest balance sheet and liability profiles in our industry, as well as a strong liquidity position. We will be exploring in the months ahead, some options to further enhance our liquidity, to be in a position, to be opportunistic in looking at adding near-term production into what we see as a strong multi-year market. We hope to be in a position to discuss this with you over the coming months, in terms of new production on the Berwind slope and Big Creek mine. I'm going to let Chris Blanchard provide some more detail where we are both on track and on budget to have that additional production starting later this year. As I said, this will annualize our overall production run rate at over 3 million tons. As far as overall market conditions, we now see some of the strongest positive macro indicators we've seen in several years. Steel pricing is at record levels. Steel utilization is back around 80%. We have already seen very substantial price movement in both iron and copper this year. Met coal, however, has lagged in pricing. No doubt in part because of the Chinese-Australian situation. The way we see it is that irrespective of any resolution of that particular political problem, there is simply too great and imbalance now in met coal demand versus supply that at some point later this year, you will begin to see an upward price correction. Whether we see price spikes based on that imbalance, I cannot say, but I do feel that in 2022, you will probably have stronger met pricing than you were seeing today. Another positive is that there is, of course also the potential for widespread infrastructure spending accompanied by broad fiscal stimulus in the developed economies in which we sell coal. We are trying to get poised to take advantage of that environment over the next two years and AMR increases in production accordingly. So with that, I'm going to turn the floor back to Jeremy to discuss our financial results.
Jeremy Sussman: Thank you, Randy. I'm going to start by going over our first quarter 2021 financial highlights. And then I will turn to our updated guidance before touching on what we are [Technical Difficulty]. To begin, we had a stellar first quarter across the board, both operationally and financially. First quarter 2021, EPS of $0.10 was up 100% from a year ago. While first quarter adjusted EBITDA of $11.5 million was up almost 40% from a year ago. This was our second best first quarter of EBITDA in Ramaco's history with only the first quarter of 2019 best in these results when as you may recall, the Australian metallurgical coal benchmark was almost double where it is today. We were pleased to produce a record amount of coal in the first quarter to the tune of 577,000 tons. This of course, annualizes to more than 2.3 million tons. Our strong production led to record low company-wide cash cost of under $60 per ton, including $55 per ton at our flagship Elk Creek complex. Chris will touch on production and costs in his remarks. Turning to our forward outlook. We are increasing our 2021 production guidance while decreasing both our 2021 cost and capital expenditures guidance. We now anticipate overall 2021 production of 2.1 million to 2.4 million tons, up from 1.9 million to 2.4 million tons previously in compared to 1.7 million tons in 2020. We continue to expect up to 350,000 tons of new 2021 production from the combination of Triad, Berwind and Big Creek. The increase production guidance comes from our Elk Creek complex, where we now expect 2 million tons of production at the midpoint. We now anticipate Elk Creek cash costs of $61 to $66 per ton, down from $63 to $68 per ton previously and down from $70 per ton in 2020. We now expect 2021 capital expenditures of $25 million to $28 million, down from $25 million to $30 million previously. All other 2021 guidance is being maintained. We continue to anticipate paying minimal cash taxes for the foreseeable future due to over $90 million of Federal NOLs. In terms of the market, U.S. met coal index pricing has generally improved throughout 2021 as both the U.S. and global economies have benefited from massive global fiscal stimulus packages aimed at consumption and infrastructure. As we show on Slide 15, U.S. High Vol A prices are up almost 20% year-to-date to $165 per metric ton FOB port and are up roughly two-thirds from their COVID induce lows. Slide. 17 shows that we are in fact seeing record U.S. steel pricing of over $1,500 per ton for hot rolled, which is up over 200% year-over-year. These positive macro trends have already translated into much stronger fixed price in index-based sales booked in the first part of the year. We anticipate further met coal price increases on the back of record steel pricing in demand, as we head into the second half of the year and into 2022. Overall, we are pleased that Ramaco has emerged from the 2020 challenges with what we soundly believe is the strongest balance sheet in the space, including very minimal debt and AROs, as well as no material legacy liabilities. Frankly, the metrics on Slide 9 bear this out. With our net debt deferred EBITDA based on analyst estimates at 0.2 times versus the peer group average closer to 2 times. Between our strong balance sheet, our record first quarter results in terms of production and costs, as well as the improving U.S. met coal market. We are positioning ourselves to accelerate our production growth to our stated level of 4 million tons and 4.5 million tons of annual production. Importantly, both Berwind and Big Creek are on time and on budget. As Randy noted, we expect to be producing at a 3 million ton per annum run rate by mid-2022, with up to 2.1 million tons coming from Elk Creek up to 750,000 tons coming from Berwind and up to 200,000 tons coming from Big Creek. Simply stated, we’re very excited about what the future holds for Ramaco. With that said, I would now like to turn the call over to our Chief Operating Officer, Chris Blanchard.
Chris Blanchard: Thank you, Jeremy. From an operations standpoint, the first quarter of 2021 was a near total of outpace from the conditions in the market and in our mining operations ending 2020. I will just touch on a few operational details and give a brief update on our development projects. However, first from a safety point of view, 2021 started much stronger statistically than our performance in 2020. Our total reportable incident rate across Ramaco has improved by over 30% from 2020. Obviously, zero is our goal, but the focus on safety from all of our miners can clearly be seen in the results thus far this year. Equally important from a health perspective at the end of 2020 and January of 2021, we were operating in the midst of the third wave of the coronavirus pandemic. For a portion of these months, absenteeism at Ramaco related to COVID-19 was running just below 10% as our employees either dealt directly with the virus or care for family members affected by it. Fortunately, as we have continued throughout this year, we have seen the virus subside in our communities and the impacts to our employees have reduced substantially. Now, turning first to our new projects. At our Berwind, Knox Creek complex, we initiated construction on the slope project, which will take the mine to the Berwind Pocahontas number four reserve. We mobilized our contractor to the project during March with first excavations of the three slope tunnels occurring late in the month. Construction on this project is currently on target for completion later in 2021 with P4 Low Vol production expected in the fourth quarter of the year. Our other growth project, the Big Creek surface and High Vol mine began earthwork and construction of sediment control structures during March. Equipment deliveries have commenced and we expect initial surface coal production and releases in the third quarter of this year. Finally at our Triad mine was successfully started and operated in the first quarter of this year, given the thicker coal seam in the Pocahontas number four, we saw higher clean tons per foot, higher washing recoveries and lower overall mine costs, which we also expect to enjoy in the larger Berwind Pocahontas four mine later this year and throughout the future. We expect to continue to use Triad production as a bridge until the Berwind mine is online and in operation in the number four seam. Triad has allowed us to successfully trial the P4 seam of coal with both domestic and international customers so far this year and initial customer feedback has been very positive. Switching to our Elk Creek operations. The unusual confluence of negative events in the fourth quarter were all worked through during the first quarter of this year. Our Stonecoal mine encountered some areas with poor roof conditions at the end of last year, these were mined through early in the quarter and by March, the mine had returned to full budgeted production levels. Mining at Stonecoal will not return to this area of the reserve for at least two years, so we expect production levels to normalize in this mine for the near-term. Our number two gas mine encountered hard sandstone conditions at the end of the year in 2020. Again, by January, this zone was mined through and productivity has increased to well above budgeted levels. While we do expect to mine through the sandstone zone again later in 2021, the overall average productivities for our number two gas mine continue to be expected to be amongst the highest at Elk Creek for this year and future years. Most importantly, probably for the first full quarter in Ramaco‘s history, we also had – we had a period where Elk Creek was able to run without the shackles of either a market-based or internal bottleneck. As you recall during the majority of 2019, our production was throttled back as a result of the silo collapse overhang, and throughout most of 2020, we operated under the market uncertainty created by the pandemic. The beginning of 2021 brought us a period where we were able to operate all of the mines at full capacity for extended periods. This resulted in a number of superlatives. The Elk Creek mines produced a record number of tons during the first quarter of 2021 and in March set a single month production record. The Elk Creek plant continues to operate at its full capacity and during March also set a single month record for both rail shipments and processed tons from the complex. However, as efficiently as the Elk plan operated, the mines at Elk Creek were able to outrun the plant and we built raw and clean coal inventory during the quarter. We anticipate similarly favorable mining conditions and associated costs for the balance of 2021. Overall – with our performance to begin this year and are cautiously optimistic about our trajectory and the opportunities for the rest of 2021 and onward next year. That now concludes management's prepared remarks. And I'd like to return the call to the operator for the Q&A portion of the call. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Lucas Pipes from B. Riley Securities. Your line is now open.
Lucas Pipes: Good morning, everyone, and congratulations to the entire team on a very strong first quarter.
Randy Atkins: Thanks, Lucas.
Lucas Pipes: My first question is on pricing, which had a few of your peers report first quarter results to-date. And pricing is complicated these days. And when I think back to some of your peers comments, there is kind of a mix on the open tonnage between pricing linked to the Australian index and the pricing linked to the much stronger U.S. East Coast indices. And I wonder if you can share with us your anticipated breakdown by geography or pricing exposure, would really appreciate that. Thank you.
Randy Atkins: Thanks Lucas. So we are East Coast seaborne sellers, we don't price anything off the Australian index. If you go back and look at our breakdown thus far this year we're about $55, $45 between domestic and export. And in terms of the sort of geographic breakdown, I would say on the export side, our largest concentration is Europe, we've sold actually some to Africa and I think that's pretty much the main bulk of where our sales. Jeremy, if I missed any of that.
Jeremy Sussman: A small amount of South America, but really the price like Randy said is Europe and Africa. And I mean Lucas, I think Randy hit on a key point. There's been sort of a lot of dancing around trying to shift away from the Australian benchmark to the U.S. East Coast benchmark from our peers. But we do not sell anything on the Australian benchmark. So to get to our prices on our index tons, all one needs to do is either take a look at the U.S. East Coast High Vol A/B or Low Vol index, depending upon the product that we're selling.
Lucas Pipes: That's really good to hear. Good job on the commercial strategy. My second question is in regard to your balance sheet and priorities in terms of capital going forward, you have an enviable position. How do you think about the balance between potentially capital returns if pricing continues to recover versus organic growth? Would very much appreciate your thoughts on that. Thank you.
Randy Atkins: Yes, well, we're not quite yet at the end of the diving board to talk about capital return. I think we needed to prioritize, we probably feel we need to get to a certain level of critical mass and then depending upon the luxury of our free cash flow, determine what's the most appropriate way to start doing such thing as a dividend policy. And we were absolutely supportive of a dividend, we've said that for several years. I think what we want to do is, again, make sure that we're kind of at an unusual size in the coal industry right now. We're not necessarily a micro cap, but we're certainly not to the size that we would like to be. And honestly, if we get to the sort of 4 million ton to 5 million ton range, we would be in the position of probably being – based on this year's production numbers, almost a 10% supplier into the entire U.S. met coal production. So we need to grow a little bit more than we've done thus far. And at that point, then I think we'll absolutely focus on capital return.
Lucas Pipes: Randy, I really appreciate that color. To you and your team, continue best of luck. Thank you.
Randy Atkins: Thank you.
Operator: Your next question comes from the line of David Gagliano from BMO Capitals. Your line is now open.
David Gagliano: Okay. Thanks. I'll be quick Lucas at my two topics actually. But I just wanted to, if you could just give us a quick refresh on any upcoming major capital spending needs or anything like that, whether it's in 2021 or 2022 and 2023 to achieve this 4 million to 4.5 million ton target over time?
Randy Atkins: No, I mean, we've got – I mean, I'll let Jeremy go down the cap spend, David. But we've pretty well budgeted in what our spending is for the main spend being in the course of the Berwind slope. And we're on our way there. Jeremy, if you want to add some more color, but there was no external needs that we've got right now.
Jeremy Sussman: Yes, that's correct, Randy. I mean, so we've tightened the range of CapEx guidance for this year from $25 million to $30 million, and now we're at $25 million to $28 million. And that reflects our increasing confidence as both Berwind and Big Creek progress. So basically by the end of the year or before the end of the year, Big Creek will be at its full run rate, David. And by Q2 of next year, Berwind will be as well. So while there'll be a little bit of capital spillover into 2022, as we said at the time of the growth announcements, the reality is the bulk of the capital for Berwind and Big Creek to get us to that kind of overall 3 million ton per annum run rate is in that $25 million to $28 million guidance for this year.
Randy Atkins: And David, I mean, we're always opportunistic. We'll happy to look around. We've got a number of organic projects that we've outlined in the material for the call to hear today that get us north of four, how we sequence that time. It is always a function of cash availability as well as obviously a decision on where we think the market is. So we'll be constantly reviewing that as the year unfolds.
David Gagliano: Okay. So I completely understand this year’s guide, just trying to get a sense as to next year and the year after to get to that 4 million to 4.5 million. I understand obviously 25 to 30 is the bulk of the – or 25 to 28 now is the bulk of the spend for Berwind. Are there any other major spends in 2022, 2023, 2024 time horizon to get to that next level?
Randy Atkins: Well, I think if you go and take a look at the slide, we've got an expansion of our Elk Creek plant. That's probably about $10 million spend over a period of two years. We would probably add another section to one of our existing mine to bump production up to roughly 2.5 million tons there. We've got our Jawbone mine that's over at our Knox Creek complex. That's probably Chris, what would that be, about a $10 million spend as well. So we've got those somewhere on the horizon, whether that's a 2022, 2023 spend, we'll make those calls as we get to that point.
Chris Blanchard: And I would just add, what Randy described is sort of laid out in three phases on Slide 7. So Phase 1 is Berwind and Big Creek, which of course is fully underway. Phase 2 is going to be the Elk Creek plant expansion. And then lastly the Jawbone mine, which basically gets us to pretty much to our stated goal.
David Gagliano: Okay, that’s helpful. Thanks very much.
Randy Atkins: Thank you, David.
Operator: Presenters, there are no further questions, please continue.
Randy Atkins: Okay. Well, we as always thank everybody for participating today. We hope it has been helpful. We obviously feel very gratified that we've been able to have a good quarter and we'll look forward to the balance of the year. And with that, we thank everybody. And we'll talk again soon. Take care.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect.